Operator: Good morning, everyone, and thank you for joining us to discuss our 2020 fourth quarter financial results. On the call with us today are our CEO, Yoav Zeif and our CFO, Lilach Payorski. I remind you that access to today’s call, including the slide presentation, is available online at the web address provided in our press release. In addition, a replay of today’s call, including access to the slide presentation, will also be available, and can be accessed through the investor relations section of our website. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements including, without limitation, those regarding our expectations as to our future revenue, gross margin, operating expenses, taxes and other future financial performance, and our expectations for our business outlook. All statements that speak to future performance, events, expectations, or results are forward-looking statements. Actual results or trends could differ materially from our forecast. For risks that could cause actual results to be materially different from those set forth in forward-looking statements, please refer to the risk factors discussed or referenced in Stratasys’ annual report on Form 20-F for the 2020 year, which we are filing with the SEC today. Please also refer to (a) our Operating and Financial Review and Prospects, which appears as Item 5 in that annual report, as well as (b) the press release that announces our earnings for the fourth quarter of 2020, which is attached as an exhibit to a report on Form 6-K that we furnish to the SEC today. In order to obtain updated information throughout the year concerning our quarterly results of operations, and the risks and other factors that most impact those results, please see (i) the quarterly earnings press releases and (ii) our quarterly Operating and Financial Review and Prospects, each of which are attached as exhibits to reports on Form 6-K that we furnish to the SEC on a quarterly basis over the course of the year. Stratasys assumes no obligation to update any forward-looking statements or information which speak as of their respective dates. As in previous quarters, today’s call will include GAAP and non-GAAP financial measures. The non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. Non-GAAP to GAAP reconciliations are provided in tables in our slide presentation and today’s press release. Now I would like to turn the call over to our CEO, Yoav Zeif. Yoav?
Yoav Zeif: Thank you, Yonah. Good morning, everyone, and thank you for joining us. It is an exciting time to be a leader in the 3D printing industry. Both our industry and our company are expected to enter a meaningful, sustained trajectory of unprecedented growth in the years ahead. Additive manufacturing is experiencing increased demand from multiple sectors of the global economy, driven by secular change from industrial technology, automotive, healthcare and many other markets. Industry analysts project a forward, five-year CAGR in excess of 20%, with continued strong growth well into the end of the decade. Turning to our results for the fourth quarter, we again delivered sequential quarterly improvements in both revenue – up over 11 percent – and operating cash flow, which was $23.7 million, our highest level since the first quarter of 2018. These are positive indications that we are in the early phases of a recovery from the impact of the COVID-19 pandemic. As we look ahead, we expect to be able to build on this momentum. At Stratasys we are well-positioned to grow. We have a strong balance sheet with no debt that is set to support future growth. We believe that prudently investing capital back into the business will result in meaningful accelerated revenue, earnings and cash flow in the years ahead. In August we shared our new strategy – to lead the polymer 3D printing market by delivering the most innovative, next-generation technologies that address the fastest-growing manufacturing applications, all while leveraging the strongest go-to-market infrastructure in our industry. We are confident this is the right approach to position us to drive sustained revenue and profitability growth. Manufacturing is by far the largest addressable market. We know firsthand from our existing business that manufacturing applications typically have higher utilization rates than prototyping applications. Manufacturing, drives increased recurring revenue from consumables, which results in a higher value opportunity for Stratasys. We have several key advantages that will help us successfully deliver on our strategy and enhance shareholder value. These include: The broadest offering with the most advanced, innovative, best-in-class technologies for every step in the customer’s product lifecycle, from concept through manufacturing; Unmatched market access to a network of over 200 channel partners, the largest and most experienced in the industry; Deep application engineering expertise that helps drive innovation; A resilient business model designed to scale; and A growing software partner ecosystem to bring important added value to our customer base. Turning to 2020, I want to recognize the hard work and dedication of the entire Stratasys team as we have worked through the COVID-19 pandemic. Our resilient team continues to meet each challenge head on to create opportunities that have become catalysts for change. As we navigate through the challenging economic environment, we are emerging as an even stronger company. I assumed the role of Chief Executive Officer one year ago, and since that time we have achieved several important accomplishments, including: The implementation of our new strategy around polymers, which is the biggest profit opportunity in 3D printing in our view. Specifically, we aligned our business around delivering the most comprehensive solutions for manufacturing applications. The acquisition of Origin, the best-in-class photopolymer solution for production-oriented applications that we believe will be a key growth driver, as we pivot to manufacturing solutions and enhance our target markets. As we have previously communicated, while we plan to deliver the first sales through our channels later this year, Origin is going to be a more meaningful revenue growth driver starting in 2022 and is expected to generate up to $200 million in new annual business by 2025. We are excited about the opportunities that this platform can deliver to the markets and the positive impact it should bring to our business. The enhancing of the company’s operating model to be application-centric, which creates focus and allows us to better leverage synergies. Cost rationalization that resulted in $30 million of annual run rate savings, enabling us to re-invest in higher profit areas of the business. And finally, the reconstitution of the management team and board of directors to strengthen our leadership and oversight. The opportunity to increase the share of manufacturing within our overall revenues from the production of end-use parts is significant. This is a multi-trillion-dollar market, and we believe 3D printing penetration is in the low single-digits today – we are just getting started. Based on our estimates, in 2020, we generated more than 25% of our revenue from manufacturing solutions. We believe that the share of our revenues from manufacturing will expand in the coming years as we begin offering our new manufacturing-focused products later this year that include photopolymerization and powder-bed fusion. We also expect to add updated versions of our high-end FDM systems, and healthcare and dental application solutions. We expect this to drive low double-digit growth in manufacturing revenue this year and over 20% annually in the medium to long term. We look forward to updating you annually on this metric. Looking at some of the milestones of the fourth quarter, in addition to acquiring Origin in December 2020, we also advanced the development of a powder-bed fusion platform through our joint venture with Xaar, which we continue to expect to launch in 2021. We expect this system to provide us entry into an extended set of manufacturing applications beyond what is available with our current systems, and we look forward to providing more details soon. We have also made great strides creating a software ecosystem that will help scale additive manufacturing and integrate with our customers’ Industry 4.0 initiatives. For example, nTopology is helping both FDM and Origin customers design parts for advanced manufacturing quickly, in ways not possible through traditional manufacturing. Our integration with Keyshot is now helping accelerate adoption of full-color, multi-material PolyJet 3D printing. And our GrabCAD SDK enables our FDM systems to fully participate in the smart, integrated factory floor. Two weeks ago, we acquired RPS, a UK-based company with a top-quality stereolithography product line that complements our current portfolio. This technology is used for multiple applications, including tooling, jigs and fixtures, investment casting, dental aligners, medical modeling and design engineering. We aim to be the first choice for polymer additive manufacturing, offering a full suite of solutions that can support the entire product lifecycle, from concept to production. With the RPS system in our portfolio, we are able to take advantage of new opportunities to offer more solutions to our customers. We expect our acquisition of RPS to be slightly accretive to revenue and earnings by year end. We also recently announced the addition of carbon fiber to the materials available on our award-winning F123 printer series. This offering delivers the strength and lightweight advantages of carbon fiber for tooling and other applications and can be an excellent replacement for heavier and more expensive metal parts, now in the more accessible F123 platform. In turn, customers are continuing to express their confidence in Stratasys. For example, in automotive, as we announced in November, Volkswagen is driving innovation within new vehicle design, thanks to our J850 printers. In consumer electronics, Google is seeing similar benefits for its Jacquard wearable platform. In aerospace, Boeing recently qualified our PEKK-based Antero 800NA thermoplastic, so that high-temperature FDM material can now be used on flight parts. It is the first material from Stratasys qualified by Boeing for use in applications with elevated chemical resistance or fatigue requirements. These ongoing investments and partnerships help reinforce Stratasys as a leader in the industry and position us to grow for many years to come. To sum up, as we begin 2021, the pandemic continues to pressure the industry and our business. However, we expect pent-up demand to begin emerging in the back half of the year. As we shared throughout 2020, the closing of our customers’ offices and factories slowed the utilization of our systems, directly impacting the rate of consumables usage and services. But based on the past two quarters of growth, especially in consumables, we are cautiously optimistic that this recovery will continue as we move through 2021. I will now turn the call over to Lilach, who will share the financial results of the quarter. Lilach?
Lilach Payorski: Thank you, Yoav, and good morning, everyone. We are pleased to have delivered sequential recovery in the back half of 2020, with growth in revenue, gross margin improvement and strong cash generation, along with inventory reduction. These are good signs that we are experiencing an economic recovery in the wake of the COVID-19 pandemic, and we look forward to the future, as the macro economy rebuilds in the coming years. For the fourth quarter, total revenue was $142.4 million, an 11.3% sequential increase from the third quarter based on an initial rebound in both systems and consumables across all regions. This compares to $160.2 million for the same period last year, a decline of 11.1% primarily due to the impact of the pandemic. On a constant currency basis, total revenue declined 12.6% versus the fourth quarter of 2019. Product revenue in the fourth quarter was $99.2 million, a decrease of 9.0% compared to the same period last year, or 10.7% on a constant currency basis. Within product revenue, system revenue decreased 8.3% compared to the same period last year and decreased 9.8% on a constant currency basis. Consumables revenue decreased by 9.6% compared to the same period last year and decreased 11.6% on a constant currency basis. Services revenues were $43.2 million, a decrease of 15.6% compared to the same period last year. On a constant currency basis, services revenues declined 16.6%. Within Services revenue, Customer Support revenue decreased by 3.7% compared to the same period last year and decreased 5.6% on a constant currency basis. GAAP gross margin was 46.4% for the quarter, compared to 49.1% for the same period last year. Non-GAAP gross margin was 49.5% for the quarter, compared to 52.4% for the same period last year. GAAP gross margin improved sequentially from Q3 by 750 basis points. Non-GAAP gross margin improved by 270 basis points, primarily due to higher amounts of systems and consumables in the sales mix. GAAP operating expenses were $68.5 million, an improvement of $13.4 million or 16.3% compared to the same period last year. Non-GAAP operating expenses were $62.2 million, an improvement of $11.6 million or 15.7% compared to the same period last year. Non-GAAP operating expense was 43.7% of revenue for the quarter, compared to 46.1% for the same period last year. The improvement in operating expenses was due primarily to the proactive resizing measures we took in the second quarter of 2020. We also continued the cost mitigation efforts related to the pandemic through the balance of 2020, with the entire company working an effective four-day work week. From an earnings perspective, GAAP operating loss for the quarter was $2.5 million, compared to a loss of $3.3 million for the same period last year. Non-GAAP operating income for the quarter was $8.3 million, compared to $10.2 million for the same period last year. GAAP net income for the quarter was $11.0 million, or $0.20 per diluted share, compared to net a loss of $2.8 million, or ($0.05) per diluted share, for the same period last year. Non-GAAP net income for the quarter was $7.0 million, or $0.13 per diluted share, compared to $10.0 million, or $0.18 per diluted share in the same period last year. We generated $23.7 million of cash from operations during the fourth quarter, the highest amount since the first quarter of 2018, as compared to using $3.4 million of cash in the same quarter last year. This was driven by strong collections and reductions in spending and inventory levels. We ended the quarter with $299.1 million in cash, cash equivalents and short-term deposits, compared to $308.2 million at the end of the third quarter of 2020. We achieved this despite the cash portion of approximately $30 million related to the Origin acquisition. We believe we are well-positioned to effectively navigate the pandemic and to capitalize on value-enhancing market opportunities given our strong balance sheet with no debt, while focusing on cost-controls and cash generation. Given the business dynamic and the uncertainty surrounding the timing and the extent of an anticipated recovery from the pandemic, we are providing the following information regarding our outlook. We are encouraged that our current quarter is tracking relatively similar to the first quarter of 2020 with notable positive growth in system sales, unlike the negative impact of the pandemic on system sales that we saw in the first quarter of 2020. Maintaining relatively flat sales even without meaningful participation from key sectors like automotive and commercial aerospace drives our confidence in the potential upside as we move through the year. In those two industries, capital spending has not yet returned to pre-COVID levels. And the utilization rates of our consumables, in general, across the entire business are still lagging due to COVID. Looking ahead, assuming current consumption trends continue, and the impact of the pandemic persists, we expect our second quarter to track growth in the mid-teens compared to the second quarter last year. We expect to provide updated revenue guidance later in the year as we get more clarity around evolving economic conditions. Turning to operating expenses. We made a strategic decision to invest for both the near-term and the future by bringing back our team to a full-time schedule starting January 1st, incurring costs ahead of the revenue growth expected to be generated from both the recovery of our current business and the launch of our new technologies. With our employees back full-time, the associated expenses of operating the business to support our growth ramp have also returned. This, plus the impact of our acquisitions, along with resource allocation decisions made to help offset some of these incremental costs which support our future growth engines, will result in $25 million to $30 million in incrementally higher operating costs as compared to 2020, but still below our 2019 costs. We believe that these strategic investments will yield material growth as the new technologies proliferate in the market, which will lead to significant operating leverage. In closing, 2021 will be a year of investment for growth. The combination of these organic investments, along with our recent strategic acquisitions and specifically the focus on manufacturing, positions Stratasys to deliver substantial revenue and profitability growth in the future. We also expect that most of this future growth will come from manufacturing applications. With that, let me turn the call back over to Yoav for closing remarks. Yoav?
Yoav Zeif: Thank you, Lilach. I will conclude today’s call by noting that we believe the additive manufacturing industry is poised for a period of exceptional growth, and we expect Stratasys to lead the way in polymer 3D printing. Our internal reorganization, coupled with organic efforts and strategic acquisitions like Origin, position us to further broaden our leadership and to outperform over the long term. With that let’s open it up for questions, Operator?
Operator: Thank you [Operator Instructions] Our first question is coming from the line of Shannon Cross of Cross Research. Please proceed with your question.
Shannon Cross: Thank you very much. I was curious, if you think give us a bit more color into what you're hearing from your customers that makes you comfortable about a second half recovery. And specifically, I'm curious, you've got three new platforms launching this year with without a lot of trade shows or who knows how this is going to work? How confident are you that there will be a pickup that that supports it. And then I have a follow up, thank you.
Yoav Zeif: Hey Shannon, thank you for the question. It’s Yoav. We feel confident because there was kind of a bottleneck over the last year. We are engaging with our customers, we are there with them. We have constant interaction with them. Once the recovery is there, and we start seeing the light at the end of the tunnel with like a whole set of projects that they would like to run. Of course, it's coming also with the impact of their end market. But we are optimistic on this one based on what we received from them and better the list of projects that they have. The way we look at it now. We are looking at a linear growth quarter-over-quarter.
Shannon Cross: Through the year, linear?
Yoav Zeif: Yes.
Shannon Cross: Okay. And is there any particular segments or geography where you're seeing the most opportunity for improvement?
Yoav Zeif: We see improvement across the board. Of course, healthcare is much stronger. And we see already with the recovery and in some cases, even higher than initial pre-pandemic sales.
Shannon Cross: Okay.
Yoav Zeif: We see improvement going forward in our strongest segments, which are aerospace, automotive, education.
Shannon Cross: And geographically, and then finishes my questions.
Yoav Zeif: I would say that all we see recovery on all fronts, across different territories. But, as we already mentioned last year, Asia, then Europe, and then the U.S., more or less, this is the sequence.
Shannon Cross: Okay, thank you very much.
Operator: Thank you. Our next question comes from Ananda Baruah with Loop Capital Markets. Please proceed with your question.
Ananda Baruah: Hi, good morning, guys. Appreciate you guys taking the question. Congrats on the solid results and good start to the year. Yoav, just the follow up to Shannon's question, could you provide any additional context on what the growth trajectory as we move into the second half of the year because look like I know, it's a long ways away. But in any context, you would help us frame how you guys are thinking about it will be helpful. And then I have a follow up.
Yoav Zeif: We already mentioned it. I'm happy to repeat, the way we look at it Q1 relatively flat, Q2 mid-teens and then H2, where we are planning to launch the new platforms. At H2, we see sequential growth, quite solid sequential growth.
Ananda Baruah: Quite solid sequential, okay. And then as we think about those remarks in the press release just around, sort of growth accelerating in 2022 and beyond. And you gave the metric about sort of longer term manufacturing growth north of 20%. Could you give us any other context around how, how, when you say accelerating ‘22 and beyond, how you'd like us to come to, to understand that, accelerating is that need for manufacturing greater than the 20%. And then what about the rest of the business, just any context, there would be really helpful, given the language in the press release?
Yoav Zeif: So we are doing our best to focus ourselves as a company, but also to be sure that we are aligned with the market. And this is why we came with this new metric, which is our share of sales to manufacturing. And we are currently over 25%. And that will be the main growth generator going forward. So we see it this year, growing this year growing in the low, double digits, and then above 20% a year. And you add to it, the whole market is growing. Also we have the strongest in the market in prototyping. And that creates a really very clear strong growth engine for the future that will catalyst our growth where manufacturing is leading the way. And manufacturing is, as you know, is the DLP, the new Origin portfolio, which is best in class, in terms of quality of parts and suitability for manufacturing, and the Xaar 3D platform and the SLA platform. So those are the growth engine we build on our infrastructure to pave the way of the industry into manufacturing.
Ananda Baruah: Okay, thank you.
Operator: Thank you. Our next question comes from Jim Ricchiuti with Needham & Company. Please proceed with your question.
James Ricchiuti: Hi, thank you. And thanks for that metric on manufacturing in terms of their contribution last year. What would that have looked like in 2019, the percentage of your revenue that you are deriving from manufacturing?
Yoav Zeif: So, this metric we are following, and we build the methodology to follow it going forward. So we are not sharing anything backward looking, but only forward looking. We think it's a very important metric for the entire industry as a whole as well.
James Ricchiuti: I agree. Okay, thank you. And just with respect to the acquisition on the SLA side, how would you maybe contrast the Neo product that they have with your own V650, it sounds like is your existing SLA printer is that mainly for prototyping? Is there a bigger opportunity with this acquisition to perhaps get into some more end use manufacturing applications?
Yoav Zeif: We are just complementing our offering. We have a strategy, we are following our strategy. Our strategy to be the first choice polymer manufacturing for everyone across the whole product lifecycle. And since this is our strategy, the SLA and RPS which is an amazing line of products are suitable for our strategy in polymer. We complete our offering. And it has both -- prototyping application. But a lot of also, end use parts, tooling manufacturing like, aligners, like investment casting, and also significant applications in healthcare, like healthcare, like medical modeling, for example, for large parts, single material. So it's a full completion of our product line. And we have a clear roadmap, which application which machine where we are going.
James Ricchiuti: And thank you.
Operator: Thank you. The next question is coming from Noelle Dilts with Stifel. Please proceed with your question.
Noelle Dilts: Thanks and congratulations on a good quarter in a tough environment. My first question, I was hoping you could just expand on how you're thinking about M&A moving forward, and just touch on, the pipeline of opportunities and where you see some opportunity to further compliment your, your current offering? Thanks.
Yoav Zeif: We have a strategy. And part of the strategy is in organic growth. We have very clear criteria, what we are looking for, and how to invest and in what to invest. And we'll keep evaluating potential investments, that will maximize the value, maximize the value both for the company and for our shareholders. We are very attractive to start-ups with disruptive technology, because we are bringing the platform and we are bringing the go-to-market. And we have the unique ability to shorten their time to market. And this is an asset that you rarely find in our industry because we have all those amazing network globally, with experts across the globe. And when we are approaching startup, it's not only about the money, it's not only about the cash, it's a lot about the prospect that we are bringing with us. And we also build the whole operating models that will allow us and allowing us right now to integrate those services.
Noelle Dilts: Thank you. And then secondly, I understand the higher jumps in operating expenses as we look at 2021. And things normalize. Could you speak to how you're thinking about some of that leverage moving in 2022 and beyond that you referenced is there sort of a goal or model that you're looking to target in terms of leverage on operating expenses as you move forward? Thanks.
Lilach Payorski: Good morning, Noelle. It’s definitely a good question. We have confirmed there as to what you have mentioned that we have a strong infrastructure from corporate perspective as well as go-to market perspective that can be easily absorbed new technologies and new businesses. And we are definitely planning to leverage this and leverage in - take advantage of scale. As we move forward in 2021 you not necessarily can say that yes, because our growth revenue level is not in the level that we still expect due to COVID. But as we go beyond a ‘21,’22, ‘23 while production application revenue will grow or we'll be able to leverage that We are not providing any specific metrics, but we do expect to see much more profitability going forward.
Noelle Dilts: Okay, thanks very much.
Operator: Thank you. The next question comes from Greg Palm with Craig Hallum Capital Group, Please proceed with your question.
Greg Palm: Yes, great. Thanks. I guess just starting, the guidance commentaries, very helpful. But specifically for Q2 it implies just slight revenue growth over Q1. Normally, you see a much bigger jump sequentially from Q1 to Q2, and I guess I would think, this year, based on your commentary, it might be disproportionately high just sort of given where we are in recovery. So I don't know maybe it's just timing related. Your thoughts about the second half of being stronger, but can you just help us understand why you're not expecting better growth sequentially in Q2?
Lilach Payorski: Good morning, Greg. The numbers do present a relatively a low sequential compared to Q1, and we, that we are definitely encouraged with their sequential growth that we saw in Q4, and the strong rebound of hardware that we're going to see in a Q1. And what we expect also in the second quarter is continue to see this growth, remind you that COVID is still here. Okay, it's not that we actually fall back with all our end markets- the industry that are much more affected is the auto and the commercial aerospace. So we are cautiously optimistic regarding the future. And that's why we believe that to be cautiously optimistic now, it provides mid-teens for next -- for next -- for the second quarter as compared to last year. But as the economic recover we will come back and provide a better projection.
Greg Palm: Yes. Okay. Understood. And, maybe just a little bit more commentary on Origin would be helpful. Just kind of curious what the, what the feedback’s been from kind of a customer base from sort of the resellers. And if we look ahead, I mean, if you were successful in generating the $200 million of annual business, what's the cadence of that contribution look like? Maybe starting next year, up until ‘25, which I think is the timeline you provided so far.
Yoav Zeif: Great question. Thank you. The first thing that happened after we announced about the Origin acquisition, I opened my email box, and I received two emails from two important customer complimenting us for the acquisition and asking for a call. And now it's an anecdote. But this is a reflection of what's going out there. We are going to manufacturing. Origin is already been perceived as a leading next generation DLP platform focusing on manufacturing. They have installed base, they have machines out there, supporting manufacturing with an ecosystem of materials. And the moment they join forces with Stratasys and our infrastructure, our customers, and also new logos, what we call, are perceived as a big opportunity to advance manufacturing. So this is the overall perspective. In terms of revenues, we are going to launch the platform at the second half of the year. And we are very optimistic.
Greg Palm: Okay, all right. I hop back in queue. Thanks.
Operator: Thank you. Our next question is coming from Wamsi Mohan with Bank of America Merrill Lynch. Please proceed with your question.
Wamsi Mohan: Yes, thank you. You're -- you're saying that the industry is entering an inflection point typically in tech markets. Inflection is driven by some change in technology, whether it is speed or quality or availability of materials. What actually is changing in what your customers are doing that's giving you this confidence in surge in manufacturing. I mean, you noted Origin’s portfolio is very good with DLP, but DLP isn't been around for a long time to have an installed base. So what is it that you tang, is this more about distribution of technology from your perspective, or do you think that there's something more fundamental especially if this is an industry call on how there is such a such a large inflection in growth rates for manufacturing applications, and I have a follow up.
Yoav Zeif: I would say that it's a combination. We are in an inflection point, because of a few very important factors. One, the technology today is not similar to the technology five years ago. Also in DLP, DLP is a great example. When you get into the details of the technology, the speed, the accuracy, and mainly the materials, it's a different ballgame. So this is a great example. But it's relevant for the entire industry. So this technology is ready to start stepping into manufacturing. That's a big change. The second one is the realizing, of so many manufacturers out there. Post pandemic, we need to create versatility, we need localization, we need to make sure that we have flexibility, and first response and ability really, to face weather crisis, pandemic, the ability to localize things, not to have inventory. So this promise is currently brought to life. So this is the second change. And we are engaging with it. And it's very, very tangible, in every discussion that I have with the customers. And thirdly, there is this issue of shifting into new products, new offerings. For example, electric vehicles, you need weight- reducing weight is critical for the range of the battery, for everything there. And the manufacturers are looking for new ways of producing parts. And you can produce parts with additive manufacturing geometries, mechanical properties, etcetera. This was not possible in the past. For example, moving from metal to Carbon Fiber and composites for the sake of weight. So if you take those three, there are many others. But if you take those three, stronger, much better technology with the strong realism that supply chain can be broken. And we need to react. Plus the tech changes all over the world that requires new parts, new geometries, new way of thinking about the physical aspects of products that create together an inflection point.
Wamsi Mohan: Okay, thanks. Appreciate the color there. Yes, I have a follow up, there are some of your competitors out there that claim that manufacturing is really much more centered around metals versus what do you just spoke about? The shift to carbon fiber, say, in your in your best guess on sort of what the addressable market splits are for manufacturing, how much would you say is manufacturing that would be subsumed by the metals additive manufacturing versus polymer? And, and thanks for giving the split of the 25% of revenue for manufacturing, how's that split between product materials and services? Thank you.
Yoav Zeif: We are not analysts here on this one. And we are focusing on polymer and I can be very short. Of course, I can quote many analysts in many different studies that address your question, but you can read it better than me. In general, today, when you look at hardware for sure. And also going forward, we are talking about 70%, around 70% polymer and 30% metal, this is in terms of revenue however, so for example. Going forward polymer is expected to grow a bit faster than metal, which was not the case in the last five years, because many people experienced metal, but there is one clear trend. Metal parts are being replaced with polymer parts and not vice versa.
Wamsi Mohan: Thank you.
Operator: Thank you. Our next question comes from Troy Jensen with Lake Street Capital. Please proceed with your question.
Troy Jensen: Hey, congrats on the great results. I just want to follow up on Jim's question from earlier regarding the V650 excuse me, the RPS acquisition the element and how it relates to V650. I think that strategy V650 was an open platform materials. I'm just curious if RPS and [Indiscernible] are going to be closed proprietary, and how much of the materials that they generate -- that they use or prepare internally, manufacturing versus partnered?
Yoav Zeif: Hey Troy, good to hear from you. And yes, very simple answer. It's going to be an open platform. But we are going to develop new materials, unique materials, in partnership with third parties, actually with the largest material companies in the world. We are working on it and it's going to be an open material system, what we call hybrid material model.
Troy Jensen: Right, understood. And then just a follow up, I know, you're launching three new platforms here, Xaar, LM and RPS? Can you just talk about organic product development? And historically, you've shown an aluminum product and you get others kind of in development, but can we expect to see some internally developed products from Stratasys also?
Yoav Zeif: Yes, for sure. We are keep investing in our business. We are building a pipeline. Sorry, you wanted to add something?
Troy Jensen: I was just going to say new tech, new platforms or just enhancements of existing platforms?
Yoav Zeif: Both, both, both. For example, in PolyJet, we just launched the J55. But this is a platform. So you will see shortly extension to this product line for different segments. We get.. this is an amazing machine, in terms of reliability in terms of quality of printing, in terms of mean time between failure, it's really unique, best-in-class with features and value to the customers that no one has, and we have keep investing in this platform, you see extension, bigger, smaller, different segments, etcetera. FDM, we are going for manufacturing. This is the core strength of Stratasys. This is -- our core position in manufacturing is in FDM. And we are leveraging this position because we understand the need, we understand the ISO’s, we understand the regulation, we understand the reliability, the service, and we are building the ultimate manufacturing machine in FDM for end use parts, and we are investing in it, and you will see in the future.
Troy Jensen: Okay, good luck this year.
Operator: Thank you. Our next question is coming from Brian Drab with William Blair. Please proceed with your question.
Brian Drab: Hi, thank you for taking my questions. I may have missed this because I was forced to join late today. But did you define exactly what we're talking about when we say manufacturing revenue? And does that include fixtures, tooling, and other things used within a manufacturing environment as well as end use parts? And if you are talking about end use parts? Did you have any specific examples of types of parts we're talking about?
Yoav Zeif: The answer is yes. It's including everything which can be under the umbrella of end use parts. Tooling is something people are using. So, everything like powerful robots, dental align, everything that is being used, and it's not a prototype, from our perspective, is manufacturing. So you can take any example for aero cabin parts or other parts for aero, automotive, electric vehicle part, tooling for robots, carbon fiber for any heavy duty tools or jigs and fixtures, medical modeling that we are doing with our PolyJet, we have the most unique capabilities of multi material multicolor to simulate real organs with our DAP, digital anatomic printing, this is also end use parts. So our definition is end use parts.
Brian Drab: Got it. Yes, that's helpful. And then I just want to clarify I didn't fully understand the answer or didn't follow, but specifically for Origin will that be maintained as an open materials or hybrid materials model as well as RP?
Yoav Zeif: Yes, yes, hybrid model like we announced in December. It's going to be a hybrid material model, combining our materials, partners materials, and also the ability to use the machines for research and development of new materials.
Brian Drab: Okay, thank you very much.
Operator: Thank you. We have reached the end of our question-and-answer session. So I'd like to turn the floor back over Yoav for any additional closing comments.
Yoav Zeif: Thank you for joining us. Stay safe and healthy. Looking forward to updating you again next quarter. Thank you.
Operator: Thank you, ladies and gentlemen, this does concludes today's teleconference and webcast. We thank you for your participation and you may disconnect your lines at this time.